Operator: Good afternoon and welcome to the Globant 2015 Second Quarter Earnings Release Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Juan Urthiague, Investor Relations. Please go ahead.
Juan Urthiague: Thank you, operator and thank you all for joining us today on our call to review our 2015 second quarter financial results. By now you should have received a copy of the earnings release, if you have not, copies available on our website, investors.globant.com. Our speakers today are Martín Migoya, Globant's CEO; and Alejandro Scannapieco, Globant's CFO. Before we begin, I would like to remind you that some of the comments on our call today maybe deemed forward-looking statements. This includes our business and financial outlook and the answers to some of your questions. Such statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published in our Investor website announcing this quarter's results. I would like now to turn the call over to Martín Migoya, our CEO.
Martín Migoya: So thank you, Juan, good afternoon everyone and thanks for joining us today. I'm happy to be here to share some of the important highlights that happened during this second quarter of 2015. We had another great quarter both our revenues and EPS came above the upper value of our guidance from the last earning call. Our Q2 revenues were $60.6 million the highest quarterly revenue in the history of Globant and 22.7% year-over-year growth. At the same time adjusted EPS for this quarter were $0.25. This strong revenue growth is a result of the work of our Studios. They are ready to help our customers in their digital transformation strategy. It also reflects our positioning as a pure play on new and emerging technologies. As most of you know on July 8, the price of its secondary public offering of 4 million common shares including the Greenshoe. Our goal was to provide more liquidity to our stock and strengthen our positioning as a public company. We are extremely happy with the outcome of these follow-on. The group was over subscribed 3x and the deal was priced with no discount versus the last trade. Again, very happy with the outcome and I want to thank you for your help and support during this process. Before diving into our financial details, I would like to go over the last quarter in terms of our business strategy. I will review some of the market trends that we ambition for the future that could propel our growth. Some analyst reports point out that industry is in the middle of the significant bottom line shift. The race of trends like Cloud, mobile, UX, wearables and social are driving companies in every industry to develop new strategies centered around them. One of the most important trends is the eagerness for using technology as a channel to increase revenues. Companies are considering the use of technology not only as a source to improve efficiency, but also as a way to increase their customer base. With this framework decisions to increase budgets and wallet size are more apparent than before so emerging technologies are receiving a bigger portion of company's budget. According to Gartner, CMO Spend Survey 2015 companies are showing an increase investment in customer experience to drive business advantage and profitable revenue growth. The highest technology investment in 2014 is for customer experience. A 68% of organizations have a separate digital budget. This represents a huge opportunity and we believe that we are in a great place to embrace this by reinforcing our positioning as a new breed technology service provider. While some other service providers in the industry of all sizes are forced to acquire companies to enter into the digital arena or to provide a more adequate approach to this new reality since it’s inception Globant’s core business relies on these new trends on emerging technologies. Being the pure play in emerging technologies consolidates us as a preferred choice to take brands into the new digital journey for their customers and help them to join this new paradigm. Our pipeline and backlog continues to be strong including several long-term prospects with our current customers and a number of high potential new customers. These companies include brands like Bank of Tokyo-Mitsubishi, Tripwire and one of the world’s leading nutrition health and wellness company all coming from a wide variety of industries such as healthcare, media, entertainment and travel among others. They really appreciate our focus to develop new digital journeys for the new technology [brash its] consumers using all the emerging technologies innovation and design to create a real digital transformation. On top of that during this quarter one of our most beloved project was launched. Our client is BBVA Data & Analytics and we have been working with them for two years in projects related to data science and open innovation. Recently they launched Commerce 360, a web-based business intelligence solution developed jointly with Globant. This platform allow banks customers, owners of small and medium companies to have access to sales information that would help them make decisions based on objective data to propel their businesses. BBVA Data & Analytics understood that there was a tremendous value lying within the big amount of data that they generated each day and they decided to make the information available for their customers. This project has two major benefits. First, it helps BBVA to improve it’s customer's loyalty and then it helps position the bank as a leader in digital transformation. This projects leverage the power of big data and we are extremely excited to have taken part of such an amazing endeavor. Let me also share with you some updates in terms of our service offering. As you know our eagerness to stay at the forefront of technology is reflected in our studios. Studios provide the most innovative solutions for our customers. For us it is key to stay ahead of the curve by constantly researching fields that have the potential to change the markets. This month we published a new addition of our sentinel report available at sentinel.globant.com where we share some trends in consumer behavior that we foresee to continue growing in the near future. In this edition, we highlight a series of dimensions of the trend know no nothing this a consistent. This means to build brand networks to encourage greater consumer loyalty and engagement. This report highlights that consumers are more sophisticated than ever before and expect that brands deliver engaging and effortless experiences. Through innovation is one from free exchange of trust and ideas between brands and consumers. These trends together with more balance sheets that we are seeing have the potential to change how companies are looking to innovate. Regarding mine we have decided to rethink and relaunch some of our studios to propel our service offerings. Today, I’m happy to announce these new and rebranded studios. First, we are proud to present our brand-new Cognitive Computing Studio. Over the past months we have seen Cognitive Computing rise at the ultimate solution to improve company’s capacities. It has the ability to help companies to make complex decisions involving extraordinary volumes of fast data and big data. The Cognitive Computing Studio develops intelligent products and services leveraging the power and complexity of big data. By using artificial intelligence natural language processing and machine learning our solutions enabled companies to extend and magnified their expertise and to improve how they relate to their audiences with context aware applications. Second we are reinforcing our consumer experience studio with new seamless experience practice. Within this practice we worked together with our customers to define their business strategy and help them to integrated into their digital ecosystem using all the additional channels as the point of contact with their end-users. Our seamless experience practice is an essence that provide the strategy and technology needed to help companies deliver and easy to use creative and appealing experience that can led to the digital transformation that consumers are expecting. Third the continuous evolution studio now deepens its focus to help our clients improve the value of their software over time by presenting representing its software evolution practice. As new trends and technologies arise the customer behavior changes and so for needs to quickly adopt. We add innovation into existing products in order to create continuous engagement among users. Last but not least, we decided to implement a different framework to faster innovation by distributing our product innovation studio throughout the entire company. Innovation must come from every corner of the company instead of coming from a close group of people. It's necessary for the entire organizational structure to listen and absorb what's happening both within and outside the company. So we decided to include an innovation practice in all our studios. In other words we are encouraging the innovation gene to blossom in all our teams. Of course, our service offering includes eight more studios which remain strongly focused on the latest trends and technologies Big Data, UX design, mobile, wearable, and Internet of things, gaming, enterprise consumerization, cloud ops, and quality engineering. On a simpering matter, our new operation in Asia coming up to the Clarice Technologies acquisition that we announce during our last earnings call has generated a very strong positive impact among our customers. Today the integration process is already completed in terms of business, people, structure and operations. At the same time, we are seeing that our increased global presence and ability to deliver the same in nobody on quality services with a common creative culture is perceived as an excellent opportunity for our customers. To finish with the summary of Q2, let me share with you that during the last 12 months the vendor services to 344 customers. They increase versus last quarter's is explaining part, but not mainly by those customers that come together with Clarice acquisition. Based on the last 12 months we now help 4 and 11 customers with revenue is the excess of 10 million and 5 million respectively reinforcing our ability to grow our key accounts. Also we now have five accounts with revenues over 10 million based on Q2 running rates and increased of one compared to Q1. With that, I will turn the call over to Alejandro Scannapieco, our CFO for a detailed financial review on Q2 and provide guidance for the next quarter and full 2015. Alej, thank you very much.
Alejandro Scannapieco: Thanks Martin. Good afternoon everyone. I'm going to spend a few minutes taking you through the second quarter results and summarizing the six months year-to-date as well then I will discuss our Q3 and full-year outlook. As detailed in the press release, we posted a strong second in terms of financial results with revenues at the record level of $60.6 million, [implying at] 22.7% year-over-year growth and $0.25 adjusted diluted EPS compared to $0.20 for the second quarter of 2014. Adjusted cash in the case in recent periods there is a strong revenue growth was primarily driven by deeper penetration in our top accounts. Our largest customer on our top 10 accounts grew is planning 49.4% and 30.8% year-on-year respectively. This clear indicator our ability to grow our largest customers is a natural consequence of becoming the preferred partner when they embark on digital transformation prospects. As you know Globant is one of the few pure plays on the merchant technology a space and this is key to validate the grow rates we have been achieving.. Additionally doing Q2 we added a number of strategic accounts to the portfolio including among others one of the largest flight manufacturers in the world and the largest European food producer. Finally, the vast majority of our second quarter revenue was generated from customers that were already working with us in the prior year. For the second quarter of 2015, our top one customer represented 12.3% of total revenue; top 5 customers represented 2.8%; and top 10 customers represented 47.7% of revenues compared to 10.1%, 29% and 44.8% of revenues respectively for the second quarter of 2014. The slight increase in concentration is due to the remarkable growth in our top one account, Disney which is hiring so additional process in new divisions. We believe that our portfolio is well diversified for a company of our size with marquee customers that could drive sustainable growth over the next five years. Compared to the second quarter of 2014, average quarterly revenue per top five customers increased 39% to $4 million an average revenue per top 10 customer increased 30.8% to $2.6 million. We are very pleased with the strong grow we are achieving in our top on a strategic customers. This reinforces our value proposition and gives us a robust base to grow in 2015 and onwards. During the second quarter of 2015, 85.2% of our customers were in North America, the U.S., as our top country, 9.7% in Latin America, others Chile our top country and 5.8% were in Europe, U.K top country. Our top three industry verticals for this quarter were media and entertainment with 22% of revenues, technology and telecommunications with 20.2% of revenues and professional services with 15.4% of revenues. We continue to be pretty much balanced across different verticals. During the second quarter of 2015, 94.6% of our revenues were denominated in U.S. dollars, there has been very limited exposure to FX the situation in our top line. As mentioned before, our second quarter revenue amounted to $60.6 million which imply a 22.7% growth year-over-year. Following with the rest of the P&L line items, our adjusted gross profit for the period increased to $23.4 million, 38.7% adjusted gross margin compared to $20.6 million, 42.3% adjusted gross margin in the second quarter of 2014 and $21 million, 38.5% adjusted gross margin in the first quarter of 2015. Adjusted gross margin increased 20 basis points sequentially. The margin decrease versus the second quarter of 2014 is explained mainly by three factors. Number one Q2 2014, still enjoy the benefit 23% evaluation that happened in January 2014 in Argentina, our main development center. Number two a slightly lower utilization, given that were training a large number of people in some of the emerging technologies like mobile, Internet of Things and cloud computing in order to cope with the strong demand of such practices. Number three a strong headcount growth which will contribute to achieving this year's revenue target. Adjusted net income for the second quarter of the year totaled $8.6 million, 14.3% adjusted net income margin an increase of $2.7 million or 45.5% versus the second quarter of 2014. Adjusted net profit for the period was also boosted by stronger gains on transaction with bonds. During this quarter, we continue investing heavily in sales and marketing and we had extraordinary expenses related to the acquisition of Clarice Technologies and the follow-on offering mentioned by Martin before. Adjusted diluted EPS for the quarter was $0.25 based on 34.9 million average diluted shares for the quarter increasing from $0.20 a year ago. Now let's move on to balance sheet. Cash on investments as of June 30, 2015 increased to $63.7 million compared to $62.2 million as of December 31, 2014, and borrowings decreased to $0.9 million from $1.3 million at the end of last year. Our balance sheet remains strong with current asset of $128.1 million accounting for 65.2% of the company's equity. Total shares outstanding as of June 30, 2015 were 34 million common shares. Moving on to the six months ending June 30, 2015 revenue for six months ended June 30, 2015 was $115 million implying a 24.4% year-over-year growth. Growth is boosted by top 10 customers our new wins as our portfolio of customers continues growing at the healthy pace. For the six months ending in June our top one customer represented 11.3% of total revenue. Top five customers represented 31.9% and top 10 customers represented 47.8% of revenues compared to 8.7%, 27.2% and 42.2% of revenues respectively for the six-months period ending June 30, 2014. Revenue for the top one customer increased 61.7% from the same period last year. Average revenue per top five customer increased 46% and average revenue per top 10 customer increased 41.2% compared to the same period from last year. We’re very excited that our top customers can see the value we provide and decide to amend our mutual relationship. Adjusted gross profit for the six month period was $44.4 million, 38.6% adjusted gross margin an increase of 15.4% year-over-year. Gross profit is growing at a lower phase on revenues given the positive tailwind of that evaluation that impacted H1 2014 and the strong investments in training we’re doing this year, which has slightly decreased our utilization during this period. Adjusted net income for the six month period ended June 30, 2015 were $16.2 million, 14% adjusted profit margin. Adjusted diluted EPS for the same period was $0.47 based on 34.7 million average diluted shares for that period. We finished the quarter with 4,512 Globers, 4,121 of which were IT professionals, attrition in the last 12 months ending June 30, decreased to 18.2% compared to 19.9% for the 12 months ending March 31, 2015 as a result of a number of initiatives including geographic decentralization, project rotations on selected compensation changes. To wrap up I would like to share with you our outlook for Q3 2015 and for the full year ending December 31, 2015. We expect to continue delivering strong revenue growth and profitability as it has been the case in prior years and our commitment when we made the IPO and the recent follow-on's. We also expect to continue making strategic investments into the business including, but not limited to training, studios capacity and delivery centers. Based on current visibility we’re increasing our expected revenue for 2015 to be between $247 million and $251 million implying at 24.7% year-over-year increase at the midpoint of the range. In terms of margins, our 2014 gross margin was among our highest at 41% and 170 basis points above 2013. I discussed in prior calls for 2015, we expect gross margin to be below 2014 levels due to additional investments in our operations and in studios and some FX headwinds in Argentina, which we seek to offset that the net income/EPS level by some SG&A dilution and the continuity of our current FX hedge strategy through gains from one operation. Adjusted diluted EPS for the year is now expected to be in the range of $0.90 to $0.96 assuming $34.9 million average diluted shares outstanding for the full-year. Turning to our guidance for the third quarter, we expect revenue to be between $63.5 million and $65.5 million. Adjusted diluted EPS is expected to be in the range of $0.20 to $0.24 assuming $35.2 million average diluted shares outstanding for the quarter. Thanks everyone for participating on the call and for your courage and support. Let’s please now move to the Q&A section of the call. Operator, can you please queue questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Tien-tsin Huang of JPMorgan. Please go ahead.
Tien-tsin Huang: Great, thanks. Good quarter here I guess just couple of questions Martín on the rolling out of the new studios and there has been a trend, but can you remind us what sort of drives the formal decision to go ahead and launch the new studio, do you have sort of strategic account interest where you think you have work to justify it and how do you sort of balance putting talent into that studio versus obviously keeping the right talent with some other older studios?
Martín Migoya: Hello Tien-tsin, thank you very much for the question. Well it is very clear as we have been seeing from our customers that every industry is really looking into how artificial intelligence or machine intelligence or Cognitive Computing intelligence we ended up calling it. Everybody is wondering how those industries can help those new technologies. So we have been trying them, we’ve introducing those technologies for many years already, but never thought them into a new studio. So although it’s not a new practice for us, we decided to create like the new studio, the NCCL screens in the studios. In order to transmit the massage that we are really using those technologies to help our customers and dream better consumer experience to their consumers. So we are taking some talent because we are working on these kinds of projects from other studios and bringing them into this new studio and I think trying to reading the message that we would be investing in many different areas across artificial intelligence and machine learning and but not in a way that we don’t give result. I mean we are – few may know already that we are very rented to how we use that in specific cases with specific universes. So for example we are driving a kind of semantic banking application where we are using machine intelligences or natural language processing to understand how to interact with bank consumer on the mobile for bank or in – on a web app for bank. So that’s the kind of approach we want to transmit. In essence we will be investing in this space of knowledge a lot, we have done a lot in the past, but now it will be much more profound in our strategy of getting closer to our customers and consumers. I don’t know if that answer your question, but may be I lost or I miss the portion.
Tien-tsin Huang: No, it does. [indiscernible] a big topic, so that’s good hear. So just I guess on the growth this quarter obviously good, tough comp. I am curious what’s the – so the outlook for your top client for the second half of the year anything we should consider I mean I guess mathematically, although it was 6 to 10 clients, it looks like it was down a little bit sequentially and note your tough comp year-over-year, but just curious if there is any call outs or anything unusual there. Thank you.
Martín Migoya: No, no nothing unusual. It just the normal process of the customers thinking this – natural both ups and downs but relationship all relationships are extremely healthy in general.
Tien-tsin Huang: Great and then sort of for your top clients just second half anything to consider?
Martín Migoya: Top clients is really, really, really bested in the success of the project and rolling out the project into many other areas. The main project of the next generation experience and also we are investing it, we’re selling very few – we mentioned in former earning calls. We are selling to other divisions of places and into other places around that same account.
Tien-tsin Huang: Okay.
Martin Migoya: So, no change in that.
Tien-tsin Huang: That’s great. Thank you.
Operator: The next question comes from Ashwin Shirvaikar with Citi. Please go ahead.
Ashwin Shirvaikar: Hi Martin, Hi, Alejandro, good quarter here. I guess my first question is sort of follow on to Tien-tsin there. As you look at growth of non-top 10 clients, have you even talk to you better served by maybe adding more forming capabilities in terms of sales as opposed to hunting and increasing that basis of clients any thoughts on the sales force and how they operate?
Martin Migoya: Yes, Ashwin. Before our addition long-term business to have, customers we can make $40 million each on those accounts. That’s our long-term vision, prepaid customers 40 million relative. So that’s the long-term pain for us on those other accounts that are not growing that fast or growing slower. We have like collection of different scenarios there are some cases very small companies that are not our targets, some other cases big companies that are going through difficult movement or difficult transition. Then there are some other companies that are small that are growing, which will never get to that $50 million or $40 million a year. So we are now changing a little bit although we keep on paying attention to the biggest account, we are we have decided to start you know like training like another force of people that we will be targeting those smaller accounts those not top 20 let’s say accounts and starting to pay attention in a different way in a more evolved way. So that’s the next big step I mean the first next big step was to concentrate on the accounts that we want for our future. Once we got that now we are going to the next step that is investing in all the other accounts, which some of them made be competitive into those big accounts but right now are not in a good moment or not growing as we would like. If I may ask you that Ashwin within those non-top accounts we also have a number of new logos that you know and I say it’s a typical pattern in terms of – for Globant, we start very small but those are accounts with great potential so that has happening for instance with a very large travel company, Airline company, the largest food producer in the world, a large company in the healthcare sector. Those are very small companies, but still not in the top 20 customers, but again they represent big opportunities in terms of size and scale in the future.
Ashwin Shirvaikar: Those points make a lot of sense. In terms of just as you take sort of the – as you quoted Martin the more evolved approach to sales. Is that imply a higher SG&A cost to the specific investments you are making that we should contemplate in our model?
Alejandro Scannapieco: I think Ashwin let me take that one. This is Alejandro. I think definitely it’s going to be in absolute value, you are going to see an increase in SG&A more on the sales side and on the SG&A side. But definitely on a relative value I think we’ll keep diluting SG&A. I think we have set up the factor of the company so that we can rely in many shared services that we had set up across the company, we have preferred the company to be scalable. I think most of the marginal investments, it’s going to come on the sales side so in absolute value SG&A is going go on a relative value on together with the growth that we see in the top line you shouldn’t be that line increasing on the contrary it should be slightly decreasing.
Ashwin Shirvaikar: Okay, understood. And then last question Clarice. Any traction or any incremental comments on how as you make more of your clients aware of the acquisitions – of its capabilities, could you share some commentary on the traction that you maybe seeing?
Martín Migoya: In general Ashwin it’s very well received, our customers are all happy, many of them has to get specific needs and we are starting to ramp up some teams already in India that before maybe it could have been started in other location. So in the last week I think the offering is very well received by our customers and for us it is also – they are well received not just because of the location – it’s well received because of what they do and remember we are not in the game of traditional IPO sourcing, which now India is normally associated to that, we are in the game of creating digital journey for our customers, it’s in the agenda of every single CEO of every company around the world. I mean everybody is wondering how I contribute better than my consumers, how can I try better than, how we can create a journey for them which is really tuneless. And that’s the reason why also Clarice or Globant in India like we end up calling it Globant in India, it’s getting also traction because the guys there and they know how they are pretty aligned to that idea. So that’s how much I can say, but I don’t know if you have any other specific doubt there or I could think begin, I don’t know.
Ashwin Shirvaikar: No, no, that was very useful. Thank you, thank you for the comments. And that was the sort of my last question. Thank you.
Martín Migoya: Thank you very much.
Alejandro Scannapieco: Thank you, Ashwin.
Operator: The next question comes from Anil Doradla with William Blair. Please go ahead.
Anil Doradla: Hey guys, congrats on the continued strong results Martin and Alejandro. I had a couple of questions. So building up on the previous question on Cognitive Computing the studio, clearly there is a aspect of communicating to the clients that you are ready for prime time and you are going out with this. But can you give a little bit more color I know the previous gentlemen asked this question, but I’m coming back to it around design wins around Cognitive Computing you talked about I think little bit in the mobile banking space, but can you spend a minute or two talking about a little bit more color on some of the wins there?
Alejandro Scannapieco: Yes, sure. The studio has been created today, so I would talk about what we can be doing in the past with other customers. Let’s go back to the seamless experience that we need to provide to the consumer. So when you are providing – you are expecting to provide a seamless experience with consumer we are not talking anymore about just a single mobile application. We are talking about mobile application that needs to be totally integrated in the multichannel – many different applications in many different platforms, but the secret behind giving the customer a good consumer experience. There is nothing to do with the application itself rather it has do with which is the information that you are providing to that specific person which is relevant to his experience at that specific moment and in that specific place. So that has happened, we have been using many things around machine learning’s around artificial intelligence around different things. Gathering information in our Big Data studio and not just Big Data, but also fast data and that’s the reason that learned and extract knowledge from that data that are able to provide that context aware information that will end up providing a greater experience for consumers. So that is I would say the core of how we’ve been looking artificial intelligence within new one. Now we are taking out that and putting that in black and white for our customers. So this is again about fast data events that are happening at the ERPs or initial extension of our customers and those events should trigger behaviors on the applications that are being built behind it. So we are in the forefront – of the totally different consumer experience that will be lead by artificial intelligence, but used in a very specific way and I think that’s the new approach – the message we want to convey building digital experiences, building this kind of making seamless journey for you consumers is not about doing one more – okay, it’s about building the mobile app and then treating with artificial intelligence and a lot of other things like gaining and gamification and user experience rule engines many different things that can’t provide the specific amazing connection with the consumer. I don’t know that’s clear, but that’s how we have been using artificial intelligence at Globant and now we are pushing that out into our new studio, and that has many different incentives. I mentioned the banking system, but also on entertainment industry were doing so we’re applying that also on the airline industry, we are applying that on the banking industry, bank are typically institutions which are like many different systems all of them interacting with the consumers in a very analytical ways and with that its’ not very easy to have seamless experience from the bank. So that’s another moment in which artificial intelligence needs to come. So for us that way it’s so important business studio, it’s important to take now faster decisions and be able to support the experience and have the right recommendation engine for them and so on so forth. So this is what we are doing right now and that’s why the importance of creating the Cognitive Computing studio.
Anil Doradla: Great. Now when you look at the attrition and can you give some color on say the attrition in your top five or 10 accounts versus the rest of the accounts. Is there some material difference in the attrition levels or it’s pretty much consistent across your whole account base?
Alejandro Scannapieco: Let me take that Anil, this is Alejandro. I think attrition it happened all across the board in the same level, we mentioned several times the attrition and concentrating on that lower base of the preeminent that has bee the case over the part of time it is the same case across the board, there are some of the accounts, some of the largest accounts where attrition is a little bit lower based on the attractiveness of the projects, that might be the case of Disney our largest customer where attrition is very low. But again I think we tried to keep focused on our plan to lower attrition. We have these capital lot of – the reason of our level of attrition having low level of attrition is bad, having a high level of attrition is also bad. So we try to stand in the middle, we have been running at the low 20s for quite sometime, we have been able to reduce that by almost 200 basis points over this last quarter. I think that’s paying off in terms of the strategy that we set up, different organization combined with large in the base of the pyramid competitive compensation and also [indiscernible]. So, I think we do have our plan to lower accretion and definitely attrition happens at the same level or across the board with the different accounts.
Anil Doradla: Great. When I look at your ability to hire the top notch talent from colleges and universities I have been busier day one preferences. Can you walk us through, and now that you’ve got Clarice and the acquisition and presence in India. So you are going to be competing with a lot of other folks in the space. How do you see yourselves may be not now but a path towards kind of day one, day zero kind of hiring preferences in the colleges and universities?
Martín Migoya: Thank you, for the question. I think it triggers many opportunities for us to explain why we are different, when we offer the jobs and we attracted talents that we are recruiting these days. What you need to have in mind is that every single project that we are doing at Globant is really amazing, with some of the best customers in the planet, with some of the best possible projects, in the consumer facing states which is an absolutely new frontier for things and were things are happening. So that’s the value proposition we have again you know trying to optimize the corporate process, for implementing advanced ERP or implementing business processing, outsourcing practice or you know trying to do any kind of other work which is of course very profitable it’s great, it’s fine. But you when we are in front of the candidate and we explain that this is part, this is the dream, this is what we want to create, this is how we want to change the last, the life of our consumers, or the consumers, of the process we do, they’re absolutely fairly low with our proposal. So I don’t see any major hurdle on that aspect, because of that specific and differential value proposition that we have. And I think in India we have a huge opportunity too. In India it’s a place where traditionalize the players are really the dominant players there and you know just very small portion of what they do is what we do. So that’s one more reason to understand why in India, not just in America now, in India we can be successful with the attraction of talent and recruiting as many people as we want or as we need. I hope that answers your question.
Anil Doradla: Yes, definitely Martin and thanks a lot and congrats and best of luck.
Alejandro Scannapieco: Thank you.
Martín Migoya: Thank you very much, Anil.
Operator: The next question comes from Jason Kupferberg with Jefferies. Please go ahead.
Jason Kupferberg: Thanks guys. I just wanted to ask a question about Europe I know it’s obviously a small geography for you guys today, but over the longer-term periods what sort of market opportunity you see there in terms of your ability to penetrate because it does seem like a lot of European enterprises in general are becoming more open to outsourcing and obviously your services are in the sweet spot?
Martín Migoya: Jason, thank you very much for your question. Listen Europe for us is very important, you are not only the first customer we had in Q3 was in London. So for us Europe is important. We haven’t being performing or grow in the new ways, I think we didn’t have the right time that we make these changes there. We didn’t have the right team to do so, but as a caveat will we have one of the largest customers that we have announced, we cannot spot all the names, but imagine as I said in my tweet the largest health and food company in very small country in Europe. I cannot tell the name, but we should make much of it. We are engaging with them and exactly what we were – I was explaining around how to change consumer experience with that a specific brand. So things are starting to happen again in the Europe and as you said I totally agree with you. We have a huge opportunity given that pretty much every company in Europe we need to finish those new branches, consumers, technology versus consumer we think that sort of priced that. So all in all not happy with how we are performing in Europe however we are making changes and we are making it better for the future of Globant I think.
Alejandro Scannapieco: If I may add to that Jason I think also Europe was not our primary target for quite some time , we talk you some time, we dedicated more so far at qualified resources to U.S. and now I think it is the time where we do have the skill to have also focusing Europe as marketing stuff, it’s the great opportunity for us [indiscernible] definitely the market is there, the value proposition that we can definitely fund to European customers. So that when you will see and you will see it fro us in terms of Europe because that – that’s makes the aerial focus for us in terms of our value proposition and the digital we provide.
Jason Kupferberg: Okay, well stay tuned on that. And then just turning to the guidance for the year now at 25% revenue growth at the midpoint. How much of that should we think as coming from pricing, what are the pricing trends are you enjoying some pricing power just given the differentiation in your service offerings?
Alejandro Scannapieco: We do see pricing power especially in the new deals I mean tied up and lean to what Martin say in terms of providing customer with the seamless experience and trying to digitalize the experiences of their customers, we create software development. Those deals are definitely coming at a better rate. I would say a little bit that maybe pricing empowerment it’s slight upward trend. I will say it’s pretty much the organic growth coming from new deals and new process with existing customers 85% of our revenue stream comes from existing customer that’s the big chuck of the guidance and increasing the guidance.
Jason Kupferberg: And you have another they don’t think you – see of us historically we have been delivering an increase in the revenue at the end of the day its an increase on the price that we are charging either know if you have the exact number right here to provide, but how historically that progression.
Alejandro Scannapieco: Okay we will follow up on that Jason.
Jason Kupferberg: Oh that’s my problem. And then just lastly any detail you have on were cash flow came out for the quarter operating or free cash flow.
Alejandro Scannapieco: Yes, I think probably its worked talking about the cash flow for the first half. The next operating cash flow was $5 million for per cost. We also have CapEx of $8 million pretty much all the CapEx is related to the expansion – big expansion in Mexico, big expansion in Columbia and then the free cash flow if we include the bonds there the free cash flow conversion was 37% for the first half of the year. So its pretty much a line so the free cash flow conversion that we have a lot fear 37% including the bonds.
Jason Kupferberg: Okay thank you.
Alejandro Scannapieco: Thank you.
Martín Migoya: Thank you. End of Q&A
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Martín Migoya for any closing remarks.
Martín Migoya: Okay thank you very much operator. Okay so thank you very much for participating on the call. We are very happy with the results that we go this quarter and with the guidance and they are providing for the next quarter too and looking forward to see you in the next earnings call. Thank you very much for you help and support as always.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.